Operator: Good day and welcome to the East West Bank Corp's Third Quarter 2019 Earnings Conference Call and webcast. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Julianna Balicka, Director of Strategy and Corporate Development. Please go ahead.
Julianna Balicka: Thank you, Shawn. Good morning and thank you everyone for joining us to review the financial results of East West Bancorp for the third quarter of 2019. With me on this conference call today are Dominic Ng, our Chairman and Chief Executive Officer and Irene Oh, our Chief Financial Officer. We would like to caution you that during the course of the call management may make projections or other forward-looking statements regarding events or future financial performance of the company within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. These forward-looking statements may differ materially from the actual results to a number of risks and uncertainties. For more a detailed description of risk factors that could affect the company's operating results, please refer to our filings with the Securities and Exchange Commission including our Annual Report on Form-10K for the year ended December 31, 2018. In addition, though the numbers referenced on this call pertains to adjusted numbers, please refer to our third quarter earnings release for the reconciliation of GAAP to non-GAAP financial measures. During the course of this call, we will be referencing a slide deck that is available as part of the webcast and on the Investor Relations Web site. As a reminder, this call is being recorded and will also be available in a replay format on our Investor Relations Web site. I will now turn the call over to Dominic.
Dominic Ng: Thank you, Julianna. Good morning and thank you everyone for joining us for our third quarter 2019 earnings call. I will begin our discussion with the summary of results on Slide 3. This morning, we reported third quarter 2019 net income of $171 million or $1.17 per share both up by 14% compared to second quarter net income of $150 million and $1.03 per share. This was achieved record operating revenue of $421 million and record net interest income of $370 million in the third quarter. In this challenging interest rate environment, we are pleased with the modest quarter-over-quarter increase in net interest income of $2.5 million as well as both the reduction in our average cost of deposits, which decreased by 6 basis point quarter-over-quarter to 1.05%. I'm pleased with the results of our associate efforts to grow low cost deposits and reduce rates on higher cost exception priced deposits, while achieving deposit growth goals. Our expenses declined by 1% linked quarter reflecting strong expense discipline quarter-over-quarter, our adjusted pre-tax pre-provision income of $263 million increased by 1%. The provision for credit losses increased to $38 million for the third quarter, an increase of $19 million from second quarter. Accordingly, our pre-tax income declined by 7.5% from the second quarter; third quarter net income of $171 million increased by 14% quarter-over-quarter as we benefit from a linked quarter reduction in income tax expense. The increase in the provision expense reflects in part net charge-offs in the third quarter, which were $22 million or annualized 26 basis point of average loans held for investment. These were largely due to three non-performing loans two of which are energy loans. Excluding the energy loans to annualized net charge-off ratio was only 6 basis points for the third quarter. As of September 30, 2019, our non-performing assets remained low at 31 basis points of total assets. Turning to Slide 4, our bottom line profitability was strong in the third quarter, with a return on assets of 1.58%, return on equity of 14.1% and a tangible return on equity of 15.7%. Despite macroeconomic and geopolitical volatility and in a challenging interest rate environment East West continues to execute. As you can see from the charts on Slide 4, our profitability metrics are consistently attractive. The five quarter range of our reported tangible return on equity has been 14.5% to 18.5% and excluding non-operating items, our operating tangible return on equity has ranged from 15.7% to 18.5% for the past five quarters. Turning to Slide 5, as of September 30, 2019, total loans reached a record $34 billion; include $291 million or 3% linked quarter annualized from June 30, 2019. Total loans grew 7% annualized year-to-date and 9% year-over-year. In the third quarter, average loans of $33.7 billion grew $680 million or 8% linked quarter annualized. In the second quarter, our average loans grew by 7% linked quarter annualized. And our outlook for the remainder of the year expects average loan growth of 8% linked quarter annualized for the fourth quarter. Third quarter 2019 average loan growth was well diversified across all our major commercial and consumer loan portfolios. On an average basis, our commercial real estate loans including multifamily, construction and land loans increased $254 million or 8% annualized followed by single family residential mortgage and home equity line, which were up $230 million or 11% annualized. In fact, this was the second best quarter in the history of East West in terms of single family residential mortgage originations. Our average C&I loans increased $200 million or 7% annualized. Average loan yield in the third quarter declined 17 basis points linked quarter to 5.11% reflecting to Fed funds rate cuts totaling 50 basis points and the decline in LIBOR rates. On Slide 6, you can see that total deposit grew to a record $36.7 billion as of September 30, 2019, an increase of $182 million or 2% annualized from June 30. Total deposit grew 5% annualized year-to-date and 9% year-over-year. In the third quarter, average deposits are $36.5 billion grew $1.2 billion or 13% linked quarter annualized. On an average basis, non-interest bearing demand accounts increased by $475 million or 18% annualized and interest bearing deposit increased by $697 million or 11% annualized. Growth was well balanced between money market, non-interest demand and time deposits partially offset by a decrease in interest bearing checking accounts. As of September 30, 2009, our end of period loan to deposit ratio was 92.8% similar to the third quarter average loan to deposit ratio of 92.2%. As we have previously stated, we have comfortable operating with a loan to deposit ratio in the range of 90% to 95%. Our average total cost of deposits decreased by 6 basis point linked quarter to 1.05% and the average cost of interest bearing deposit decreased by 8 basis points to 1.49%. And now, I will turn the call over to Irene for a more detailed discussion of our income statement and outlook.
Irene Oh: Thank you, Dominic. On Page 7, we have a slide that shows the summary income statement and a snapshot of notable items during the quarter. Our tax expense this quarter was $35 million and our effective tax rate was 17%. This compares to an effective tax rate of 16% in the third quarter of last year. Last quarter recall we incurred 30 million of additional income tax expense for the reversal of certain previously claimed tax credit. Moving on to the discussion of net interest income on Page 8. Third quarter net interest income of $370 million increased by 1% percent linked quarter and grew by 6% year-over-year. Third quarter net interest income growth reflects growth in interest income from average interest bearing cash and deposits with banks. Average deposit growth outpaced loan growth in the third quarter and excess liquidity increased cash and cash equivalents. In addition, interest expense also declined reflecting a reduction in the average cost of funds which decreased by 6 basis points quarter-over-quarter. Combined these drivers offset the pressure from declining yields on assets. The third quarter GAAP net interest margin was 359 and the adjusted NIM excluding the impact of ASC 310-30 discount accretion was 356. The 15 basis points quarter-over-quarter changed in our GAAP net interest margin breakdown as follows; a 14 basis point decrease from lower loan yield including fees and discounts, a 2 basis points decrease from lower yield on other any assets, a 4 basis point decrease from the asset mixed shift namely the increase in interest bearing cash and deposits were based, a one basis point decrease from our funding mix shift, an increase of FHL LME advances all of which were partially offset by a 7 basis point increase in the net interest margin from a lower cost of funds. Our loan portfolio is largely variable rate and the most impactful interest rate indices for our loans are primary and a one month LIBOR. The decline in interest rates this quarter was reflected in our monthly weighted average loan yield which was 508 for the month of September compared to 527 for the month of June. In addition, we had been managing our securities portfolio to maintain essentially stable yields by replacing maturing cash flow with slightly higher yield at approximately 90 basis points above the six month Treasury rate in a slightly longer duration. Despite the decline in the Fed Funds target rate deposit pricing competition from other banks remains acute. Nevertheless as Dominic mentioned in his remarks, we have had success in reducing our deposit costs this quarter. As of September 30, 2019, the end of period costs of our deposit was 101 down by 10 basis points from 111, as of June 30. The end of period cost of our interest bearing deposits was 143, as of September 30 down by 14 basis points from 157 as of June 30. Importantly, we are lowering deposit costs while simultaneously continuing to grow core deposits. Now turning to Slide 9¸ total non-interest income in the third quarter was $51.5 million, a 2% decrease linked quarter. Fee income and net gains on sales of loans totaled $51 million, a 4% increase from $49 million in the second quarter 2019. Net gains on sales of loans increased by $2 million reflecting the volume of SBA 7(a) loans sold during the quarter. Wealth management fees increased by $1 million in reflecting ongoing gains and increases in customer volumes. Customer driven interest rate contract revenue was $11.1 million in the third quarter of 2019 compared to $11.8 million in the second quarter. This is a slight quarter-to-quarter decrease in customer driven revenue, but still significantly above historic run rate reflecting strong customer demand in the current interest rate environment for this product. Offsetting the revenue is the CDA adjustment, which was a negative 2.7 million in the third quarter compared to a negative 1.4 million in the second quarter. The quarter-over-quarter change in the CDA reflects the decline in the long-term interest rates during the third quarter. Moving on to Slide 10, third quarter non-interest expense was $177 million, a decrease of 1% excluding amortization of tax credit investments and core deposit intangibles. Our adjusted non-interest expense was $159 million in the third quarter 2019, a decrease of 1% quarter-over-quarter. This was largely due to a decrease in compensation and employee benefits. Our efficiency ratio improved modestly quarter-over-quarter. Our third quarter adjusted efficiency ratio was 37.7% compared to 38% in the second quarter. Over the past five quarters, our adjusted efficiency ratio has ranged from 37.7% to 39.9%. Our third quarter 2019 pre-tax pre-provision income of $263 million increased 1% quarter-over-quarter and our third quarter pre-tax pre-provision profitability ratio was 242 compared to 251 from the second quarter. Over the past five quarters, our pre-tax pre-provision profitability ratio has ranged from 242 to 251. In Slide 11 of the presentation, we detail out critical asset quality metrics, our allowance for loan losses totaled 346 million as of September 30, 2019 or 1.02% of loans held for investments compared to 98 basis points as of June 30, 2019 and 96 basis points as of December 31, 2018. Non-performing assets as of September 30, 2019 were 135 million or low 31 basis point of total assets compared to 28 basis points of total assets as of June 30, and 23 basis points of total assets at December 31, 2018. For the third quarter of 2019, our net charge-offs were 22 million or annualized 26 basis points of average loan and we recorded a provision for credit losses of 38 million. This is an increase in net charge-offs of 15 million and an increase in the provision for credit losses of 19 million compared to the second quarter of 2019. Moving on to capital ratios on Slide 12, East West capital ratios are strong, tangible equity per share of $30.22 , as of September 30, grew 4% linked quarter and grew by 11% year-to-date. The tangible equity to tangible assets ratios increased by 57 basis points year-to-date and our regulatory capital ratios increased by 41 to 56 basis points year-to-date. East West Board of Directors has declared fourth quarter 2019 dividends for the company's common stock. The common stock cash dividend of $0.275 is payable on November 15, 2019 to stockholders of record on November 1, 2019. And with that, I'll move on to updating our 2019 outlook on Slide 13. Our outlook covers results for the full year 2019 compared to our full year 2018 results. We experienced a higher level of payoffs and pay downs in the third quarter. Based on the year-to-date results, we are lowering our full year end of period loan growth outlook to 7% from 10%. For the fourth quarter, we are expecting 7% linked quarter annualized growth based on current pipelines and expectations for the remainder of the year. Quarter-to-date fourth quarter has started off strong in terms of loan growth. And our assumptions for the rest of the year, we expect the Fed to cut rates 25 basis points in October. For the full year, we expect our net interest margin excluding the amount of discount accretion to range between 360 and 365. And our full year outlook implies that we expect the net interest margin for the fourth quarter to be in the range of 340 to 345. Our success in controlling deposit costs has been helping to offset the headwinds to our NIM from our variable rate loan book and then continued flattening of the yield curve. With these revisions, we expect net interest income to grow approximately 6% year-over-year. We are also narrowing our expense growth expectations and expect our non-interest expense excluding tax credit investment and core deposit intangible amortization to grow approximately 3% year over year or essentially flat expenses quarter-over-quarter for the fourth quarter. For the full year 2019, we expect the provision for credit losses to be approximately 100 million. And finally for the full year 2019, we project that our effective tax credit -- the tax rate excuse me will be approximately 20% including the impact of a 30 million tax credit reversal from the second quarter. The full year tax rate assumes tax credit investments of 97 million in 2019 and for the fourth quarter, we currently expect that the tax credit amortization will be approximately 45 million. With that I will now turn the call back to Dominic for closing remarks.
Dominic Ng: Thank you, Irene. I will now open up the call to questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question today will come from Ebrahim Poonawala from the Bank of America Merrill Lynch. Please go ahead.
Ebrahim Poonawala: Good morning guys. Just first question on credit appreciating that absolute level of charge-offs in NPAs are low, but there's obviously been a fair amount of concern around trends in your classified assets year-to-date. So I was just wondering, if I mean you can provide us where classified assets were specially mentioned substandard loans at the end of September? And if we can particularly talk about just what we are seeing in the C&I book on credit and on the energy front. Do you expect additional hiccups as we move through year end into next year?
Irene Oh: So Ebrahim as of the end of the third quarter total classified loans were $442 million special mentioned loans were $526 million. So special mentioned dipped down slightly from where we were at $630 million to $526 million.
Ebrahim Poonawala: Understood. And it was my understanding that you guys are just sort of doing a deeper sort of review of the C&I book I was wondering if there were any takeaways from that and just again, your thoughts on the energy book as we think about future credit issues?
Irene Oh: Yes. We've mentioned on the call that we continue to actively review our portfolio -- all the portfolio quite frankly not just C&I and the energy book. So, with that, we feel comfortable as far as grading, the allowance and where we stand today.
Operator: Our next question will come from Chris McGratty with KBW. Please go ahead.
Chris McGratty: Hi. Good morning. I'm wondering if you could speak to the updated expense guidance, it seems it's in response to the top-line pressures from the environment on rates, but as we are thinking in kind of broadly, how should be thinking about positive operating leverage in this environment? Thanks.
Irene Oh: Good morning, Chris. Yes. I don't know it's really kind of in response to the top-line revenue, but certainly we're practical and we look at kind of where the revenue growth is coming from and what we need to do. I think the way I characterize it, it's really more of a narrowing of the guidance. And we only have one quarter to go quite frankly.
Chris McGratty: Okay. Maybe on the loan growth, I think you mentioned pay downs and pay offs kind of affecting this quarter. Could you maybe elaborate on that and maybe whether any of the trade negotiations have had an impact on borrowed demand? Thanks.
Dominic Ng: In the third quarter, pay off and pay down actually, we looked at it specifically it came from a few different sectors, commercial real estate not in fact, we actually have pretty nice growth, but it just at right around the -- near the end of the third quarter a Northern California region have a few large loans that -- pay down in the third quarter right around the quarter end. But I would expect in the fourth quarter, commercial real estate would pick up pretty strongly make up the difference.  And the other sectors that have seen the -- higher than expected pay down one in entertainment sector. There are a few large loans that has happened that the customer have extra liquidity and wanted to pay off the loans in the third quarter. And in addition to that, our private equity and also venture capital sector business have actually some high increase in drawdown. And then, we saw a substantial decrease in the balances with pay down right around September. So, these are the normal activity that is taking place in these different sectors. There is a little bit more the volatility of the C&I.
Operator: Our next question will come from Brock Vandervliet with UBS. Please go ahead.
Brock Vandervliet: Thank you. Good morning. I appreciate the NIM guide and the look into Q4 to again square the circle on the full year. Assuming say two cuts next year, should we kind of assume the same glide path in NIM next year?
Irene Oh: Brock, we give guidance for the next year with that earnings call that we will have in January. So I'm going to refrain from kind of making any comments for 2020, but certainly with the actual results this quarter, and then also our expectations for fourth quarter you can kind of make our own assumptions around that.
Brock Vandervliet: Okay. And in terms of the credit discussion, the pickup in NPLs this quarter was that -- can you give us any kind of look at the industry concentration of the NPL pickup?
Dominic Ng: While we suddenly have these energy loans, and then, I think in the mixture of a few different categories, I think we always had maybe a few TRE that's been there for a long time from back even the old days. And as that we know that the collateral value is there but it's just has been stay in the NPA for a long time because it hasn't been resolved. And then the rest of them are just coming from different sectors.
Operator: Our next question will come from Matthew Clark with Piper Jaffray. Please go ahead.
Matthew Clark: Hey. Good morning. I just wanted to get some more color. It looks like on your securities portfolio -- looks like you're starting to grow that a little quicker here. Should we expect the balance sheet to grow faster than loans from here and into next year to help kind of mitigate the NIM pressure and maintain kind of NII year-over-year ?
Irene Oh: Yes. I think if you look at the third quarter results that we did grow which is very positive deposit growth was faster than the loan growth. And so that excess liquidity was placed in our securities book which is our [assets] [ph] portfolio and then also the other retail investment and deposits that we have. That really isn't our strategy. Certainly if we have excess liquidity and we can make some spread and increase the NII, we will certainly do so, but as you also know that also [indiscernible] NIM. But, we were very kind of -- with the deposits that come from our customers in normal course of business, certainly if there's extra liquidity we will deploy that probably in the securities book loan growth isn't there. But with that said, we're also actively managing the deposits and using this opportunity when deposit growth happens -- core deposit growth to lay off some of the higher cost deposits. So that'll be an active strategy that will continue in the fourth quarter as well and next year.
Matthew Clark: Okay. And then, CD is maturing in the fourth quarter. Can you give us the rate at which they're maturing and renewal rates?
Irene Oh: Yes. Give me one minute. I have a thousand sheets here and that is certainly one of them that we have. If you look at the deposits that we have maturing in the fourth quarter, we have approximately 2.7 billion CD with a weighted average interest rate of 196. And first quarter next year rough to the same amount as well -- same rate slightly higher at 2.8.
Operator: Our next question will come from Jared Shaw with Wells Fargo Securities. Please go ahead.
Jared Shaw: Hi. Good morning.
Irene Oh: Good morning.
Jared Shaw: I appreciate the color on the loan pay down activity this quarter. Can you give a little update on how the overall loan pipeline is looking as we go into fourth quarter and should we expect to see that C&I start to outpace the CRE again in fourth quarter?
Dominic Ng: The loan pipeline so far looks pretty good. And I don't know whether C&I would outpace CRE. They both have pretty decent pipeline. But, traditionally we always have a little bit stronger fourth quarter than the other quarters. So, we would expect that -- there are high likelihood that the fourth quarter will have stronger origination results than the other quarters we had during the year.
Jared Shaw: Okay. Thanks. And then, it was nice to see in August the large amount of insider purchases of the stock and taking advantage of the price here with the capital growing in a relatively low dividend payout ratio, I guess why wouldn't you consider a buyback at a corporate level as well it seems like that would be a good return and good use of capital from here.
Dominic Ng: I think one we feel like that putting our own cash up is actually -- it's a much stronger indication of our confidence with the bank than using corporate cash. The other thing is actually -- I actually highlighted before that is that you look at where we are today even in this quarter. Our return of equity and our return on assets are still performing at the top quartile of banks in U.S. So, we are generating pretty good return even with these excess capitals, so to speak. That's the second reason. The third reason is that, so I'm looking at the overall fundamental in U.S. and our financial performance so far so good. However, there are dark clouds still in the future. We looking at for example the Trump administration have just gotten WTO approval of imposing 100% tariff against certain imports coming from Europe. We still have not signed in North America Free Trade Treaty with Canada and Mexico. And we're supposed to on December 15 to impose tariffs on 550 billion of import coming from China. Now what is the likelihood all of these things is going to be happening to hurt the economy, probably not. But, if you look at what the Fed have done, obviously, they're not cutting interest rate twice to appease our administration. They are doing it because they also worry about the future despite the fact that the fundamentals are strong today. So from that standpoint, I looked at it is that, while I don't expect that all these bad news will be happening that things are going to be really bad. But just in case I rather have more capital than all the other banks, but if that didn't happen economies are very strong, things are going really well, stock market coming back strong because of all these other stuff that we worry about -- come 2020 in the presidential election and things actually got better. Then I need the capital to grow anyway because we tend to grow a little bit faster than the other banks. So it's all these sort of like last three reason combined together we concluded that at this stage we're just going to stay put.
Operator: Our next question will come from Ken Zerbe with Morgan Stanley. Please go ahead.
Ken Zerbe: Great. Thanks. Actually just specifically in terms of the loan growth this quarter, I think you mentioned one of the reasons for the 3Q weakness was higher payoffs and private equity and venture capital. Are you getting towards the end of September, are you seeing any of that come back in October or is it expected to remain low in the fourth quarter?
Dominic Ng: Yes. In fact these are just private equity funds. Their activity is it's really hard to predict when they need to draw down, when they need to pay down because oftentimes it depends on the investment that they make. And so, the PE funds have always been harder to predict. But we continue to bring in more PE clients throughout the years. So, from that standpoint I think that we feel pretty good that all in all, if you look at average growth that we are doing pretty good. It's just that, it's hard to predict one particular moment. And then, I think the late September is one of those unusual moment. The fact is, if you look at our average loan growth for the third quarter has been pretty good. I mean an average of 8% and then it's pretty cross the board in all different loan categories. So, it's just that come September 30, we have to pay down.
Ken Zerbe: Got you. Okay. And then, in terms of expenses months or multipart question, a) I think I heard you say 45 million of tax credit amortization. I just want to clarify that. But also b) The 3% ex-amortization guidance seems to imply a noticeable drop in fourth quarter expenses. So, just want to make sure thinking about that right and kind of what drives that drop in expenses. Thanks.
Irene Oh: Yes. So, on the amortization you are correct. Our current estimate is at 45 million for fourth quarter. For expenses in total, it doesn't really imply a drop per se from the third quarter levels, but certainly I think as I mentioned earlier, we're narrowing given that we have one quarter end.
Operator: Our next question will come from Aaron Deer with Sandler O'Neill & Partners. Please go ahead.
Aaron Deer: Good morning everyone. Following up on the expense question. Just curious, obviously with this challenging rate environment you guys are being pretty mindful about expenses as you look out to next year, are there any technology investments or other initiatives that would keep you from being able to keep a lid on expenses going forward?
Dominic Ng: I think that what we've seen so far is that when you say that technology that can help to reduce expense is that the question?
Aaron Deer: No. I'm wondering if there's any technology investments or other initiatives core systems conversions that sort of thing that would cause a bigger spend in that arena than we might expect?
Dominic Ng: Oh, I see. Well, actually one is that, we actually were fortunate for the last few years. We have continuously investing in core technology and we feel pretty good about where we are in terms of a back office infrastructure and then some of these system upgrades from our cash management area. And then, a few other areas and then BSA system is -- one of those -- I was saying that one of the best in the country. So, however, we will continue to invest. For example, couple of initiative which is important for us that we will invest in 2021 being the foreign exchange system. We think that we have an upgrade that we can do that can help to make our foreign exchange capability even stronger, so that we can bring in even more sophisticated clients or provide even better service for our clients that require foreign exchange services. The second one is our Hong Kong online banking. This is another one that we feel that it will substantially improve our capability to serve our overseas customers. So, these are the two that I think that we will definitely invest. And then, we'll continue invest in our digital banking initiatives that we have started about a year and half ago. So those are the three. But, I mean it's nothing unusual.
Aaron Deer: Okay. And then as my follow-up going back to the credit, there were three commercial loans highlighted, I think you said two of them were energy. In what industry is the third? And then, also maybe just with respect to the energy and additional details given terms of the types of energy loans whether its field services or exploration or kind of what categories those fall into got?
Irene Oh: Yes. So, the two energy loans where we had that increase kind of charge offs related to that were in E&P. So their reserve base lending loan. Another one was in our life sciences kind of category.
Operator: Our next question will come from Lana Chan with BMO Capital Markets. Please go ahead.
Lana Chan: Hi, there. Just a follow-up on credit, again, if your loan loss provision guidance of 100 million implies the provision is expected to come down into fourth quarter? I mean given the trend that we're seeing on criticized assets how confident are you with that lower provisioning and I guess charge off outlook?
Irene Oh: Yes. I think that's a great question, Lana. I mean I think with the -- so with -- we've continued as I mentioned earlier to scrub our portfolios. I'm comfortable at this point in time that the grades are correct and the allowance is appropriate. Our forecast for fourth quarter factors in some analysis that we've done or what could happen with the migration in the portfolio. So, we're comfortable with that at this point in time.
Lana Chan: Okay. And just a follow-up. How big is your energy portfolio right now and how much of it is on special mentioned or classified?
Irene Oh: Our total energy portfolio is 1.2 billion outstanding. The percentage of it that is on watch, classified is in 3%, [indiscernible] is 5%.
Operator: Our next question is a follow-up from Ebrahim Poonawala with Bank of New York Merrill Lynch. Please go ahead.
Ebrahim Poonawala: Good morning, again. Just had a follow-up on credit and I think there have been a fair amount of questions and concerns around your stock on credit. Just taking a step back Dominic would love to get your thoughts around. Are you seeing noticeable signs of credit weaknesses within the portfolio, have you looked forward where things stand today? Or do you think this is just quarterly noise given our low credit metrics are and things should remain near current levels absent a bigger deterioration in the economy.
Dominic Ng: Well, I think that with general economy, I wouldn't say much of a slowdown is just more that business sentiments are getting more cautious. So, there are a little lack of interest of making substantial capital investments and that do cause a slowdown in the economy to a certain degree and the lack -- of a little bit lack of, let's say consumer confidence and also the fact, consumer purchase that affect our business overall. We from our portfolio standpoint would you have not seen much weaknesses. I mean actually interesting enough is that everybody have concern of the perception of how tariffs will affect East West Bank. And when I looked at charge-off so far that really have not had anything so far this year, got much have anything to do with these tariffs. In fact we have watched his portfolio very carefully, frankly for the last couple of years. We have exited over $250 million of C&I loans that we felt that potentially tariff would affect this business. And we send those clients to other banks. So from that standpoint I think so far so good. We actually have -- clearly have the capability to manage the challenge in terms of this trade war and somehow navigated so far so good. If I looked at our portfolio where that we do find that deterioration is in the energy and in fact, it is something that actually, well known in that specific industry that all banks that have energy exposure are taking a little bit of losses here and there and so are we. And it's just that the equity market in the energy sector has dried up quite a bit and for the last several months. And to that extent, have caused some substantial distress to some of these E&P business. So in that standpoint and that's why we as much as what we are doing right now is that as I mentioned we have this $1.2 billion of energy loans, is a total of 98 relationship. So, it's very easy for us to get to 98 loans. And so far, we have two that actually resulted in charge-off. And as I read mentioned earlier, we have two more classified. And our energy team and also our credit administration team have reviewed the entire portfolio had appropriately risk weighed these loans and classified them in the appropriate buckets and we will continue to monitor these loans to make sure that we stay vigilant to ensure that we do not have a sort of like keep our eyes off the ball with these energy loans. But, other than that, I think as of today, we have not seen anything in particular that will cause us to have substantial concern.
Ebrahim Poonawala: That was extremely helpful. And just in term of the energy book, how much of the book is reserve based versus services which is midstream loans?
Irene Oh: Those are the portfolio is E&P or midstream about 70% is E&P and 30% is midstream. We are very little in the services. I don't have the exact numbers Ebrahim, but that was really a legacy from the Metro. Some loans from that but it's very small.
Operator: Our next question will come from David Chiaverini with Wedbush Securities. Please go ahead.
David Chiaverini: Hi, thanks. Thanks for squeezing me in here. So, first on, resi mortgage, so originations were strong, but growth slowed owing to pay down. So, was curious, do you expect a rebound in resi mortgage growth back to say that the 20s percent annualized looking forward or is mid teens growth kind of a new normal?
Dominic Ng: Well, one of the reasons why we have higher pay down. I would say that we tend to have a higher pay down maybe then -- I don't know. I mean I don't know about what normal some other shops in fact I haven't looked at that. But, the reason we have a higher pay down is because East West in the past have traditionally not in favor of making fixed rate long-term mortgage 15 year fixed or 30 years fixed. We have always been very active in three years, five years, seven years. And the reason we did that is really for our own internal asset liability management. And frankly, six or seven years ago when interest rates were at -- I mean fed fund run rate at 25 basis points. We knew one day the rate will stop rising. So, we intentionally not wanted to have too much exposure in long-term fixed rate. And so, in fact about two years ago, we also noticed that since rates have risen enough, we feel pretty safe. So we started implementing a 15, 30 year fixed rate mortgage. Now when we have customers are so used to with the shorter term. And even if we all offer a longer term fixed rate, it took a little while for us internally to sort of like promote it. And it took a little while for customers to adapt to it. But what we found is that for the last two or three quarters, we are getting more and more stronger response from our customers in taking on these long-term fixed rate mortgages. Now with that, I think in time when there are more customers have a longer term fixed rate mortgages, the likelihood of them having to refi because the loan mature is less. So, I think this will be a gradual process. And I would think that in the next quarter we probably still see some high payoff just like what we have. But then I feel pretty confident the pipeline in the single family mortgage loan origination area will be strong and we will continue to get us into a pretty decent sort of like growth in terms of -- in the fourth quarter, now probably not going to be in that 20%, we'll see.
David Chiaverini: Thanks for that. And my follow-up is on energy. You mentioned about know 98 relationships and I'm not sure if this the right way to think about it, but are you able to say what price of oil were your energy loans underwritten at and at what price does oil need to be for the energy book to stabilize from a credit perspective?
Dominic Ng: We don't have that information in front of us right now that we can share with you at later on if you need to.
Irene Oh: After the call we can follow-up on that. I apologize, we don't have it in front of us.
Operator: Our next question will come from Lana Chan with BMO Capital Markets. Please go ahead.
Lana Chan: Hi. Sorry, I was just cut off before it -- just had another question on energy. What are your reserves against the energy book right now?
Irene Oh: As of 930 on the portfolio we have about 30 million.
Lana Chan: Okay.
Irene Oh: It's about a little more over 2%.
Lana Chan: Great. Thanks Irene. This will conclude our question-and-answer session. I would like to turn the conference back over to Dominic for any closing remarks.
Dominic Ng: Well, thank you all for joining the call and I'm looking forward to talking to all of you in January 2020.
Operator: The conference has now concluded. Thank you for attending today's presentation and you may now disconnect.